Operator: Good day, and thank you for standing by. Welcome to the Telkom's First Half of 2021 Results Call.  Please be advised that today's conference is being recorded.   I would now like to hand the conference over to your speaker today, Mr. Andi Setiawan. Please go ahead.
Andi Setiawan: Thank you, A.J. Ladies and gentlemen, welcome to PT Telkom Indonesia Conference Call for the First Half of 2021 Results. We released our results on 31st of August 2021, and the reports are available on our website, www.telkom.co.id. Today's presentation is available on the webcast, and an audio recording will be provided after the call for the next 7 days. There will be an overview from our CEO. And after that, all participants are given the opportunity to participate in the Q&A session. Before we start, let me remind you that today's call and the response to questions may contain forward-looking statements within the meaning of safe harbor. Actual results could differ materially from projections, estimations or expectations voiced during today's call. These may involve risks and uncertainties and may cause actual results to differ substantially from what we discuss. Telkom Indonesia does not guarantee to any actions which may have been taken in reliance of the discussion held today. Ladies and gentlemen, it's my pleasure now to introduce Telkom's Board of Directors who are joining with us today: Mr. Ririek Adriansyah as President, Director and Chief Executive Officer; Mr. Heri Supriadi as Finance and Risk Management Director; Mr. Herlan Wijanarko as Network and IT Solution Director; Mr. Edi Witjara as Enterprise and Business Service Director; Ms. FM Venusiana as Consumer Service Director; Mr. Bogi Witjaksono as Wholesale and International Service Director; Mr. Budi Setyawan Wijaya as Strategic Portfolio Director; Mr. Muhamad Fajrin Rasyid as Digital Business Director; and Mr. Afriwandi as Human Capital Management Director. Also present are the Board of Directors of Telkomsel: Mr. Hendri Mulya Syam as President Director; Mr. Mohamad Ramzy as Finance and Risk Management Director; and Ms. Rachel Goh as Marketing Director. I now hand over the call to our CEO, Mr. Ririek Adriansyah, for his overview. Please, Ririek.
Ririek Adriansyah: Thank you, Andi. Good afternoon, ladies and gentlemen. Welcome to our conference call for the first half of year 2021 results. We really appreciate your participation in this call. Amidst prolonged COVID-19 pandemic, Telkom saw positive results by recording IDR 69.5 trillion in revenue, increased 3.9% year-on-year. Expenses increased but at a slower rate of 2.8%, resulted in a better profitability. EBITDA grew by 4.7%, while net income increased by 13.3% year-on-year. This achievement showed that our business plans are on the right track towards a healthier condition and stronger fundamentals throughout the end of this year. IndiHome continue as the engine of growth for Telkom revenue and profitability. Its revenue reached IDR 12.9 trillion, grew by 24.2%, supported by additional subscribers and better ARPU. The strong performance resulted in the increase of the consolidated revenue from 15.5% last year to 18.5%. IndiHome profitability also continued to improve with EBITDA margin of 47.6%, a significant increase from 38.6% in the first half of 2020. During the first half of 2021, IndiHome got -- added around 285,000 new customers despite the pandemic situation that might slow down physical marketing activities and installation of new lines. Meanwhile, ARPU improved to IDR 270,000 in the second quarter from IDR 266,000 in previous year. Ladies and gentlemen, Telkomsel saw improving performance amidst challenging cellular business environment. Telkomsel's revenue in the second quarter of 2021 grew by 3.5% as compared to previous quarter. Payload consumption reached almost 10 GB per data user, a substantial increase of 41.4% year-on-year. Revenue contribution from Digital Business is consistently increasing and reached 77.3%. Digital Business, Data and Digital Services also grew by 4.7% year-on-year to IDR 33.4 trillion, and that's been the key driver of Telkomsel as a digital telco company. Digital Services sales grew by 28.1%. Among the retail products are Digital Lifestyle, Advertising and Enterprise Solutions. Enterprise segment successfully grew by 12.2% to IDR 8.7 trillion, with IT Services and Enterprise Connectivity solution remained the biggest contributor to the segment revenue. This saw consistent improvement in our turnaround strategy. In the meantime, Wholesale and International Business segment recorded revenue of IDR 6.9 trillion, increased by 1.2% year-on-year, supported by increasing tower business, data center and A2P services. In the period, total fixed line business contribution has reached more than 40% of Telkom's consolidated revenue and more than 30% of Telkom consolidated net income, reflecting healthier and well-diversified business. Ladies and gentlemen, Telkom continued to build synergy and collaboration with digital and technology companies. After an additional investment in May 2021, an additional leading digital company, Gojek, in August 2021, Telkom also signed an MoU with Microsoft to explore cooperation in the development of intelligent infrastructure, development of digital talent and acceleration of Telkom's group digital transformation. Telkom's Venture Capital, MDI, demonstrates strong capability and performance. MDI portfolio has shown an outstanding performance in terms of investees' fund investments, exit strategy and synergy value. MDI has invested in more than 50 start-ups in 12 countries, of which 3 companies have done IPO and 6 companies have been successfully acquired by third parties. Moreover, currently, MDI has 2 unicorns in its portfolio, NIUM and Kredivo, and other 2 companies are expected to be the next unicorns. With this achievement, MDI has brought positive impact on Telkom's Digital Business. We are building up capacity in data center and cloud business. Today, we operate 26 data center facilities, 21 domestic and 5 overseas, with total capacity of around 43 megawatts. In first half of 2021, data center contributed IDR 713 billion in revenue or increased by 11.7% year-on-year. To enhance our capacity, currently, we are in the progress of developing new site of data center, which is a Hyperscale Data Center, certified as Tier 3 and 4 in a total area of 65,000 square meters near Jakarta.  Our Hyperscale Data Center will be completed in stages, and the first stage is expected to complete by end of 2021 with a capacity of 25 megawatts. At the final stage, Hyperscale Data Center will have capacity around 75 megawatts. In tower business, after we successfully consolidated tower assets, Mitratel own 23,000 towers with tenancy ratio of 1.57 as of June 2021. Mitratel as a stand-alone company booked revenue of IDR 3.2 trillion in the first half of 2021 or grew 10.9% year-on-year.  Mitratel EBITDA margin also improved to 76.8% in first half of 2021 from 69.7% in the first half last year. The realignment of tower portfolio within the group is actually to enhance Mitratel value and at the same time will make Telkomsel to put more focus and efficient on its core services. Ladies and gentlemen, to conclude my remarks, let me share our main guidance for the year of 2021. One, we expect that consolidated revenue to grow by low- to mid-single digit. Second, EBITDA margin is expected to be relatively stable. Third, capital expenditure or CapEx for the group is expected to be around 25% of revenue, excluding additional CapEx on 5G. That is ending my remarks. Thank you.
Andi Setiawan: Thank you, Ririek. We will now begin the Q&A session.  Operator, may we have the first question, please?
Operator: Your first question comes from the line of Piyush Choudhary from HSBC.
Piyush Choudhary: Congratulations to the management team for the great set of results. A couple of questions. Firstly, on your mobile business, could you share some light on the competitive dynamics? We have taken tariff hikes. So is the tariff hikes likely to sustain? And what are the other potential levers for ARPU development in mobile business? Secondly, on data center. What is the total CapEx annually for the new Hyperscale Data Center of 100 megawatts, 100 ? And how much is already spent on that? And if you can share in the first stage, like 25 megawatts is coming, how much of the capacity is already presold?
Rachel Goh: Piyush, this is Rachel. I'll take your first question regarding the mobile market competitive dynamics. I think to your question which is, are the tariff hikes sustainable and what's our outlook on ARPU? Just to recap that since the end of quarter 1, Telkomsel has already taken initiative to signal to the industry that it's necessary to halt unhealthy pricing practices in the mobile market. We need to make sure that RPMBs are good and the profitability is strong as an industry. So we had stopped unlimited, and we have increased our prices progressively in phases over the last few months. Unfortunately... 
Andi Setiawan: Hello? A.J.?
Operator: Pardon the interruption, we have lost the line for speaker Rachel. Other presenters, please take over.
Andi Setiawan: Heri, can you take over?
Heri Supriadi: Can I continue with the second question while we're waiting from -- continuation from the first question?
Piyush Choudhary: Yes.
Heri Supriadi: On the second question, Piyush, the total CapEx for the new hyperscale that are currently under construction, around USD 70 million. It is 1/3 of the capacity that we can build in the property that we have here. So I think gradually, along with the -- I think expanding demand, we're going to build 3x of the -- now that we already built.  So that's the situation now. How many? I think client that we have or user right now, we are in the process of, I think, selling this presell to the users, potential users. For your info, in our data center in Telin in Singapore, for example, the utilization there is already around 82%; in Indonesia, around 76%. It means we have a list of, I think, demand for selling these capacities. Hope that answers your question.
Piyush Choudhary: Yes. Pak, this is very helpful.
Rachel Goh: Piyush, I'm back. Should I continue?
Piyush Choudhary: Yes.
Rachel Goh: Hello? Yes. So I think we have already started changing the prices in stages. So I think in terms of RPMB and ARPU, we should be seeing a healthy pickup. However, there are also headwinds that we are facing in Indonesia now with the second -- the next round of COVID wave now that's hurting us. We are seeing more customers staying in, and mobility has not picked up yet. So those will be some of the challenges we might foresee when it comes to ARPU. Nevertheless, we will see that we are expecting ARPU to stabilize first and then improving over time. I hope that answers your question.
Operator: Your next question comes from the line of Arthur Pineda from Citigroup.
Arthur Pineda: Three questions, please. Firstly, on housekeeping, if you can get some clarification on the OpEx items, like G&A and personnel expenses seemed to have jumped significantly Q-on-Q. I'm just wondering, is there any one-off bookings that we should be aware of? That's the first one. Second question I had is with regard to the MDI investments, if you can get any clarity on that side. I understand you've invested around $900 million into this. What size of stakes would you normally take for these investments? I'm actually quite curious on the 2 unicorns and how big a stake you actually have. And on the Microsoft deal, the third question, what do you expect to see with this deal with Microsoft? Is there any specific targets on additional revenues or cost savings which can happen with digitization?
Heri Supriadi: Arthur, I'll try to answer your question. First on the, I think, increase of G&A cost, it is because of, I think, consultancy or, I think, export cost on this one because we have quite many plans, quite many, I think, corporate items that require us to have some expertise on this one. This in line with company progress and development. And then on the, I think, the personnel cost, personnel cost, it is related to the, I think, last year bonus that basically we paid in the second quarter of this year. This is performance related. Some also attributable to the -- I think because the expected discount rate also declined, it means our exposure to the, I think, pension benefit also increased on this one, increased our, basically, pay to the contribution to the, I think, contractual that we have with the employees. That are the reason of the, I think, the growth. But it is not kind of one-off thing. We still can manage this one to make, I think, the pay becoming also attractive and to retain the talent also, I think, attract the talent.
Arthur Pineda: Pak Heri, just to clarify that, so for these cost items, it should remain at these levels going into the next few quarters? Is that how we should look at this?
Heri Supriadi: I think, basically, we try to manage the cost of employees going to the other. I think slightly increased, of course, compared to last year with regard to this one. But overall, I think we don't have any kind of something that can one-off that can make this even higher. We try to manage along the time, becoming more, I think, moderate the growth. And the MDI investment, MDI basically currently manage about USD 900 million assets. We already invest in more density start-ups in 12 countries. So far, what we can say that I think we compare the return and also we do kind of, I think, periodically mark-to-market with, I think, a big pool. So basically, the return that we have from this one about, I think, operates or written in the same investment globally. That's the situation of our MDI investment. The size is, I think, quite variation, depends on the stage of the start-up itself.
Arthur Pineda: Understood. So this $900 million has been deployed already? Or is that the fund size?
Heri Supriadi: The fund size, I think, in total, from internal, the plan is around 100 -- fund around $700 million. Now in the process of that, I think we incurred the last $200 million of $900 million. So I think we have quite many investment plan.
Ririek Adriansyah: Well, on the Microsoft side, as you are aware, Indonesia is probably compared to other country in terms of the improving the retail facilities is like behind of those countries with a similar side. So working Microsoft is actually is one of our steps to explore those markets, the opportunity that we have. So it can be B2B, B2G, but as well can be a B2C. We don't have the number yet at this point. We just laid down a full detail of our plan, continuing the signing of the MoU. So at this point, we don't have the numbers yet. And working with Microsoft is one of the partners that we have and we may continue with the other similar companies because we do believe that IT consumption and digitalization is having a huge opportunity in Indonesia.
Operator: Your next question comes from the line of Foong Choong Chen from CIMB.
Foong Choong Chen : This is Foong from CIMB. Three questions from me, basically follow-ups to the earlier questions. Firstly, on the mobile business, Rachel, you mentioned just now that we are seeing some headwinds with the next wave of COVID-19 cases in Indonesia.  So I just wanted to get your thoughts as to whether you think this potentially could see some risk in terms of the development of competition. Are you seeing some of the smaller players perhaps adjusting their prices, trying to appeal to consumers because of the lower spending power? Or is everybody just sort of holding steady and you think that beyond this, we will continue to see prices going up, even including the smaller players? That's question number one. Second question with regards to the Hyperscale Data Center, I just wanted to clarify again that the $70 million that was mentioned, this is just for the first phase. Is that right? And does that include the acquisition of the land? Or is the land leased? And my third question is with regards to MDI. You mentioned that the AUM is $900 million.  Is that what we are capping the AUM at? Or do we sort of see that potentially going up further from the $900 million fund under management? And what's MDI's current portfolio value in terms of the current values? Yes, those are my 3 questions.
Rachel Goh: Foong, I'll take your first question. So Foong, yes, indeed, with this COVID rise and also the PPKM in Indonesia, there is, indeed, we are seeing lower spending power from certain segments, the most bigger mass segment. So the operators here, including Telkomsel, now we're looking into lower denomination to make sure we address the affordability factor. So not towards reducing prices, but towards making it more affordable in smaller denomination for the customer base.
Heri Supriadi: Foong, on the $70 million, it is for first stage only, and it does include the land acquisition costs. And then on the MDI, of course, there's potential of we're going to increase the investment on this one. As you may know, in this region, the growing of the, I think, digital start-up are very high. And I think we still have many opportunities in the health, logistic and others. So we still see that our potential of, I think, investment vehicle on this one. So I think we continue to see this one as a part of our strategy to go to the digital. Please also be aware, whenever we, let's say, choose these companies, we see also what is the, I think, basically synergies that we can build with them, both for go to external or go to internal by, let's say, making our company more digital.
Foong Choong Chen : Okay. And Pak Heri, what is the current value of these digital investments? And another follow-up is you mentioned just now that the $70 million includes the acquisition of the land. Is that the land just for Phase 1? Or have you also bought the land for Phase 2 and Phase 3 already?
Heri Supriadi: We already bought out the land. The land is for the 3 campus basically on this one. And then your question on the, basically, what is the value of the $70 million, unfortunately, we cannot disclose that one. For example, if you see one of the planned IPO of our investment in Kredivo, they already -- I think you already see in the market the value around $2.5 billion. We can have a gain around $100 million from this one if that happened. I think if you -- we can have a one-on-one for that to have some, I think, color on this one part.
Operator: Your next question comes from the line of Niko Margaronis from BRI Danareksa.
Niko Margaronis: Congratulations for the good results to both teams. So basically, my first question is on, yes, on the data centers. You mentioned that it's about currently total capacity of around 43 megawatts. How much of that is used for Telkom group purposes? And you mentioned earlier that is about 76% utilized capacity currently. Yes, how much of that is used for Telkom internal purposes? That's question number one. Question number two is about what has been in the last couple of days mentioned in the media outlets here that there's a potential cooperation between PLN ICON+ and Telkom. Is this some new initiative or is some project that has been worked from both sides extensively? And what are the scheme for this cooperation? What are the scenarios that you -- that can be considered as a cooperation between the 2 SOEs in the fixed broadband space?
Heri Supriadi: Pak Niko, thank you for the question. On the utilization of this 43 megawatt capacity for our internal use, I think about 30% we use for internal purposes. The rest, I think, we use for our client on this one. So that's about the utilization. On the second question, I think Pak Ririek will do that.
Ririek Adriansyah: Thank you, Pak Niko. The segment was made by the Minister of SOE during the meeting with the House of Representatives. So -- and it was just yesterday. So we don't started yet to discuss anything with the ICON+ or PLN so that we cannot give you any information at this point. Thank you.
Niko Margaronis: All right. Just I have a follow-up on the data centers. On the new 25-megawatt new capacity, Telkom intends to occupy how much of that? And maybe I can squeeze one more question, if I may. On -- it's a follow-up question from a previous participant in relation to the price hikes. How -- what has driven you to increase -- to do those price hikes at this point? Are this on a nationwide basis or are selectively implemented? And are the unlimited packs still promoted like, for instance, in Combo Sakti or the MAX series? Yes, so basically, what has driven you at this point to do those price hikes? And how, yes, how confident are you that the other mobile outlets will not take advantage of this?
Heri Supriadi: Budi?
Budi Wijaya: Thank you. For the -- related to the new data center, this is -- the purposes of data center is for the global tech giants. And for the internal, we predict not more than 20% utilization. The rest is for the external purposes. And the intention of this data center is one of the part of the data center ecosystem on telco, which is serving mostly on the global player, not for the local player. Thank you.
Heri Supriadi: Ibu Rachel, I think that question...
Rachel Goh: Okay. Thanks, Pak Heri. So a few questions. If the price hikes were started end of Q1, it's not so much in the form of price hikes, but it was a withdrawal from unlimited. We had unlimited for a few -- for about half a year. And it was only launched in selected cities. It wasn't nationwide. We picked selected cities to launch unlimited, and hence, we stopped that progressively since the end of Q1. And with that, where we did price hike, it wasn't really just increasing the packages, it was more of a more for more. So the packages, the prices with the reduced reduction of -- removal of unlimited, we had packages, but we gave more quota. So in RPMB level or PPMB level, it might look more competitive or more value for customers, but we try to keep an eye on making sure our ARPUs are very healthy.  And hence, you can see that we've maintained a strong -- reduced the reduction in ARPU and stabilized and hopefully will grow. So this is how we did that. In terms of ComSak, which is basically our Internet, which is basically our BTL personalized packages for our existing customer base, we have also been using machine learning models to make sure that we're only recommending the right packages for our customers. So customers who are more in favor of low denominations, we will then promote low-denomination kind of ComSak to them.  If customers are those who are using more and higher volumes and higher payloads, we'll offer them higher denomination packages. So outlets are also offering different things like physical vouchers, et cetera, for those who are affected by the new wave of COVID. So there are various types of packages as well as acquisition packages and vouchers that we are putting out there so customers from all different kinds of affordability patterns or usage patterns will all find something that's suitable for them. So with this, we hope that the competition can also correct their pricing. We are seeing some movement in the recent weeks, and we hope this will continue and that in the Q3 and Q4 will be healthier for the whole industry overall. Thanks.
Operator:  We have a follow-up question from the line of Piyush Choudhary.
Piyush Choudhary: Two questions, please, if I may. Firstly, on IndiHome, the ARPU has been lifting up extremely nicely. Could you share how is management thinking about the ARPU outlook and subscriber addition for the year? Secondly, on your partnership with Gojek, you have detailed in the Info Memo various initiatives that you have taken. But could you also share some tangible benefits accruing due to this Gojek partnership like subscriber addition or revenue uplift or reduction in churn rate? Any kind of tangible benefit would be good to know.
FM Venusiana: Piyush, we expect current IndiHome ARPU of around 20 -- IDR 270,000 to be relatively sustainable. And given the subscriber growth trend in the first semester '21, for the second semester of '21, we target to add at least similar new IndiHome customers in the first semester in '21. But more importantly, revenue pattern will remain on track. Does this answer your question, Piyush?
Piyush Choudhary: Yes, yes. But -- okay, yes.
Budi Wijaya: Okay. Related to the project investment that we did in the last quarter, I think we are increasing in terms of the certificate, meaning that the driver use, our SSDI is increasing Q-on-Q  and in terms of the ARPU increasing to 6%. And also we -- given that Gojek as a reseller in terms of unit preference is also increasing 23%, and in terms of the , increasing around 32%. And also we do the MyAds with the budget business. It's also increasing quite significantly, more than 100%. This is what we did with the Gojek.
Operator:  Your next question comes from the line of  from Macquarie.
Unidentified Analyst: I just have 2 questions. First question, can you update us on the IPO plan for Mitratel? And second question, on IndiHome, actually, apologies, I missed the -- your response earlier on the question about growth outlook for IndiHome subscribers going into this year and next year.
Hendri Syam: Pak Arindra, I think on the IPO plan for Mitratel, we plan to do first submission of the registration for the IPO today. And the plan of the listed itself going to be in November. So we have book building and listed in November. So that's in our plan.  Currently, we are in the process of planning the road show and other activities related to the IPO process itself. On the IndiHome, I think, Ibu Venus, you want to answer this one on the -- what is the target subscribers this year and...
FM Venusiana: Okay. Given the subscriber growth trend in the first semester '21, for the second semester '21, we target to at least similar new customers, same with the first semester. But for the next year, it depends on the situation. If the pandemic still ongoing, I think we get the off-cycle on the ground to government mobility utilization. So we need to be more selective to make sure that we can get that quality customer, for example, like 12-months contract because it's easy to visit the customer or to offer the IndiHome to the customer with the sales force and the valuation to visit the house.
Hendri Syam: Adding to Ibu Venus' answer on this one, in terms of the demand, we see the demand is still strong. We believe demand up to next 2 years remain very strong. From the, I think, installation right now, it is -- we have some, I think, challenge because of the COVID situation and so on. And also, we try to increase the quality of our customer by having 1-year contract at least for a minimum to have the quality on this one. So this -- I think still the markets still are promising. We try to increase, I think, efficiency and also productivity. This already brings us to the good result in this year, well financially result, as mentioned by Ibu Venus. So that's, I think, about the situation of IndiHome.
Operator: We have a follow-up from Niko Margaronis from BRI Danareksa.
Niko Margaronis: So I wanted to check about the progress on the 23-megahertz spectrum refarming. When this will be finalized and, yes, you expect to switch on this frequency, the additional frequency of 20 megahertz? And may I ask the -- on the guidance, it's a bit open for interpretation. It says about 25% of your revenue, excluding 5G CapEx. How -- what does this actually mean? I mean I understand that your current investments are also going to be used for 5G. This is my understanding. How to see this, yes, to see this statement in the guidance?
Hendri Syam: Okay, Niko, I will answer later to the first question. I think in terms of the progress for the requirement of the reallocation from the 2.3 spectrum, it's still ongoing. Hopefully, the end of September, we'll be finished. And related to the CapEx, I think the CapEx for the 5G, we already put in the year -- planned budget for this year.
Heri Supriadi: So basically, what Pak Hendri mentioned is 25%, including the 5G, actually. So the -- I think the -- that's the outlook because the 5G CapEx also remain, still counterparty for our CapEx.
Hendri Syam: We're still limited in terms of the implementation of the 5G.
Niko Margaronis: Right, right. So just to follow up, that means that maybe 5G investments can be more intensified maybe going forward, maybe next year and that, that CapEx sales ratio can -- or may have to increase in the following years.
Hendri Syam: I think in terms of the 5G implementation, we have to wait until the spectrum, especially  and 90.5. But currently, 2.3 is only -- limited countries use the 2.3 spectrum. And -- but I think the Telkomsel will deploy quite a massive CapEx not next year, maybe 2023.
Niko Margaronis: Right, right. Maybe I can squeeze one more question. With regards to Mitratel, is Telkomsel planning to transfer more assets to Mitratel in the foreseeable future?
Hendri Syam: Thank you, Pak Niko. On the transfer of the tower, yes, it is in the plan of Telkomsel because I think Telkomsel want to focus on the business necessary. Basically, it meant this asset . And then we're currently in the process of finalizing the transfer of 4,000 towers to Mitratel. If you ask what I think how much it's going to cost, I think it has come to the participant's mark that we have in the market. It's supposed to be close on that one. So we're then going to open basically, I think, good day open -- issue upon the release on the -- of this transaction, but it is already in the plan of the company.
Niko Margaronis: Okay. So just to confirm this, this is 4,000 new towers in addition to the 6,000 towers already been transferred in the past, right?
Hendri Syam: Yes. Yes, this is addition of that. We're supposed to have around -- Mitratel is supposed to have around about 28,000 towers after this additional 4,000.
Niko Margaronis: Right. And you recently transferred 1,000 towers from Telkom or is it from Telkomsel?
Hendri Syam: We have what we call in-brand transfer asset of tower from Telkom to Mitratel. This is not included in the 10,000 that we previously mentioned.
Niko Margaronis: Okay. Okay. And what is the tenancy ratio of these 4,000 towers?
Hendri Syam: I think we see for the situation right now, I think the tenancy ratio of Mitratel around 1.65, yes -- 1.7.
Ririek Adriansyah: 5-7.
Hendri Syam: 5-7 now, sorry, 1.57. This tower, if you see the distribution of the tower, can be set half in Java and the rest in the outside of Java. Of course, I think this give us quite a significant potential to increase the tenancy.
Operator: Your next question comes from the line of Samuel Chen from AllianceBernstein.
Samuel Chen: Just 3 questions here. The first question is on the guidance of a dividend policy, if you have any. Understanding that 5G investment might be coming up, I want to hear your thoughts on the dividend first.
Heri Supriadi: Okay. I think on the dividend policy, basically, we need to see the reason what is expected in the market for the investment that you guys make on us on this one. Of course, we want to meet the situation. Of course, it is not the -- right now we are not ready to talk about this, maybe next year.
Ririek Adriansyah: Too early.
Heri Supriadi: Too early, yes, to talk about this one. But the intention of the company, still want to give the price return to our shareholders servicing.
Samuel Chen: Okay. The next question is on this venture fund, MDI, that you guys have. Just wanted to understand a bit of the styles. Are you guys more like SoftBank where you will eventually exit? Or is this more of a -- because I noticed most of your investees are part of your verticals as well. Or do you guys plan to be a long-term investor for your portfolio companies?
Ririek Adriansyah: Well, it's basically been mentioned by Pak Heri, but I just wanted to emphasize that, basically, we're not going to be like a SoftBank. SoftBank is actually is very impressive. And mostly or if not all, they are seeking the capital gain. What we do with MDI is 2 sides. One is, of course, we are seeking on capital gain. But similarly, we're also looking at what is the potential synergy and B2B with -- can be with a member of the company within the TelkomGroup or can be also with other SOE. So I think we need to balance the 2. And for the -- actually, I think it's a case-by-case basis, so it can be at the point that we think are the best to accept or it can be longer than that.
Samuel Chen: Maybe just a quick follow-up. I understand establishing a long-term relationship with the start-up is very important. But is exit -- like is holding 20%, 30% -- I don't know if you guys are holding 20%, 30%, but is holding a stake in the company a necessary step to cement that relationship? Or once you've been working with them for a while and you grew them in the beginning, is that sufficient by itself?
Ririek Adriansyah: Well, the -- I think the more important is, like I said, is also what kind of synergy or kind of B2B relationship that we have. It's quite promising and then we believe it's something that's good for us and we can continue as strong as we can hit. So I think that's the way we do the investment in MDI.
Samuel Chen: Okay. So my last question is on the fixed segment, the Telkom segment overall. I noticed the EBITDA margin is now very close to 50%, consider the scale has now played out very nicely. I noticed that if I take the whole segment, the operating margin is 25 - mid-20s. So that means the EBITDA margin is probably low 30s, if not higher. Would you be able to give us some guidance on over the long term between broadband, enterprise and wholesale, which is probably mostly just towers and IDCs, what kind of EBITDA margin -- what kind of margin generally are we looking for, for each subsegment?
Heri Supriadi: Okay. Thank you for the question. I think a very nice question and also tough to answer. But I think, overall, we're quite pleased with the noncellular margin right now. If you see IndiHome, we have a very good margin here. If you ask whether we can increase the margin, the margin right now that we have, of course, from the basic connectivity that we have and then they also buy head on, I think, service that we provide in that one. So we need to balance between the short-term margin and also the long-term, I think, sustainability of our business by having more, I think, sticky customers here.  I think with this margin that we have, we are very happy with this. We try to enlarge the business by having more customers and more sticky. I think with this, hopefully, if all is running well, even we can have better margin if the opportunity exists. But I think in this moment, by growing the size of the business with the same margin, that's already very good. And then in the other, in area of enterprise, we have about -- the EBITDA margin around 10s on this one. So we know this is related to the expertise that we have built and so on. We expect this also going to increase by having more, I think, service on this one. So in the long run, we hope this, I think, segment also going to increase the margin. In the tower business, of course, they are going to be listed. They have to have, I think, quite a comparable margin network. I think that the direction that we have addressed with those, I think, combination, we do have, I think, quite a good margin and sustainability over time.
Samuel Chen: Okay. So maybe just a follow-up. On a long-term basis, maybe like a 5-year basis, would it be fair to say that the fixed segment EBITDA margin is probably 35%, 40% once you reach the scales in the tower business to IPO? Or would it be more similar to the way we have right now, around like low, mid-30s?
Heri Supriadi: I think it is supposed to improve, but more granularly. I think we know that in the -- I think for IndiHome, we're going to have more competitor on this one. So we need to also, I think, depend over the market as well on this one. I think it is going to improve, but I think more granular.
Operator: As there are no further questions, I would like to hand the call back to Pak Andi. Please go ahead.
Andi Setiawan: Thank you, A.J., and thank you, everyone, for participating in today's call. We apologize for those whose question could not be addressed yet. If you have any further questions, please don't hesitate to contact us again. Thank you, everyone.
Operator: Thank you. This concludes today's conference call. Thank you for your participation. You may all disconnect now. Thank you all.